Operator: Good day everyone and welcome to the Northern Trust Corporation’s Fourth Quarter 2015 Earnings Conference Call. Today’s call is being recorded. At this time, I’d like to turn the call over to the Director of Investor Relations, Bev Fleming for opening remarks and introductions. Please go ahead Bev.
Bev Fleming: Thank you, Zack, good morning everyone and welcome to Northern Trust Corporation’s Fourth Quarter 2015 earnings conference call. Joining me on our call this morning are Biff Bowman, our Chief Financial Officer; Jane Karpinski, our Controller; and Kelly Mullen from our Investor Relations team. For those of you who did not receive our fourth quarter earnings press release and financial trends report by e-mail this morning, they are both available on our Web site at northerntrust.com. Also on our web site, you will find our quarterly earnings review presentation, which we will use to guide today’s conference call. This January 20th call is being webcast live on northerntrust.com. The only authorized rebroadcast of this call is a replay that will be available on our Web site through February 18th. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Now for our Safe Harbor statement, what we say during today’s conference call may include forward looking statements, which are Northern Trust’s current estimates and expectations of future events or future results. Actual results of course could differ materially from those expressed or implied by these statements because the realization of those results is subject to many risks and uncertainties that are difficult to predict. I urge you to read our 2014 Annual Report on Form 10-K and other reports filed with the Securities and Exchange Commission for detailed information about factors that could affect actual results. During today’s question-and-answer session please limit your initial query to one question and one related follow-up. This will allow us to move through the queue and enable as many people as possible the opportunity to ask questions as time permits. Thank you again for joining us today. Let me turn the call over to Biff Bowman.
Biff Bowman: Good morning everyone. Let me join Bev in welcoming you to Northern Trust's Fourth Quarter 2015 Earnings Conference Call. Today I was review our results for the quarter and the year after which Bev and I would be happy to answer your questions. Starting on page two of our quarterly earnings review presentation this morning we reported fourth quarter net income of $239 million. Earnings per share were $0.99 and our return on common equity was 11.1%. A number of environmental factors impact our businesses as well as our client. Let me review how some of those factors unfolded during the quarter. Equity markets were lower year over year but higher sequentially. In US market the S&P 500 was down 1% year-over-year and up 6.5% sequentially. In international markets the MSCI EAFE index was down about 3% year-over-year and up 4.4% sequentially with the year-over-year decline being driven by the impact of a stronger US dollar. Recall too that some of our fees are based on lagged market values and the third quarter 2015 markets were generally lower. In bond markets the Barclays US Aggregate Index was lower both year over year and sequentially. Currency volatility as measured by the G7 index was 11% higher than the fourth quarter of last year. In the sequential comparison currency volatility was 4% lower. Foreign exchange market volumes as measured by two of the Interbank brokers were down over 20% year over year and down about 13% sequentially. You'll recall that currency volatility and client activity influenced our foreign exchange trading income. Currency rates influenced the translation of non-US currencies to the US dollar and therefore impact client assets and certain revenues and expenses. The dollar was stronger year over year which tempered custody asset growth and related fee growth but benefited expense growth. Sequentially the dollar was stronger against most major currencies except the Australian dollar and Swedish krona. U.S. short-term interest rates rose on the heels of the first Federal Reserve rate increase in nearly a decade. Three months LIBOR and the fed funds effective rate averaged 41 basis points and 16 basis points respectively both higher sequentially. The overnight repo rate was also higher averaging 22 basis points in the quarter. Before I move to the highlights of the quarter, allow me to mention one item discussed in our press release. In the fourth quarter, we sold approximately 550 million of non-strategic leases and loans for a net gain of 26 million. We also wrote down by approximately 27 million certain held-for-sale leases, which had a book value of 112 million at year end. The net effect of these two items on other operating income was essentially nil. Let's move to Page 3 and review the financial highlights of the fourth quarter. Year-over-year, revenue increased 2% with non-interest income essentially unchanged and net interest income up 9%. Expenses increased 6%. The provision for credit losses was a credit of 18.5 million in the quarter, reflecting a change in the estimation methodology for inherent losses and improving credit quality. I'll explain the methodology change later on this call. Net income was 2% lower year-over-year. In the sequential comparison, revenue was essentially flat with non-interest income down 2% and net interest income up 8%. Expenses increased 2%. Net income was 2% higher sequentially. Client assets under custody at 6.1 trillion increased 2% both year-over-year and sequentially. In the year-over-year comparison, strong new business was partially offset by the currency translation impact of a strong dollar. In the sequential quarter comparison, favorable equity markets and new business were partially offset by the impact of a stronger dollar against most major currencies. Assets under management were 875 billion, down 6% year-over-year, a decline in equity assets was the primary driver due primarily to outflows from certain sovereign wealth fund clients in light of economic conditions in their regions. A continuation of the trend we mentioned last quarter. In addition, fixed income assets were lower year-over-year, primarily due to the loss of one sizable passive mandate from a non-U.S. institutional client which I mentioned last quarter. Assets under management decreased 1% sequentially, primarily driven by lower securities lending collateral. Let's look at the results in greater detail starting with revenue on Page 4. Fourth quarter revenue on a fully taxable equivalent basis was approximately 1.2 billion, up 2% year-over-year and unchanged sequentially. Trust, investment and other servicing fees represent the largest component of our revenue and were 747 million in the fourth quarter, up 3% year-over-year and essentially unchanged sequentially. New business and lower money market mutual fund waivers were the primary drivers of year-over-year growth, with currency [ph] translation as I mentioned earlier detracting from overall fee growth by about 1 percentage point. Fee waivers were approximately 20.5 million in the fourth quarter, lower by 12.5 million year-over-year and 7 million sequentially. I'll go into further detail on trust and investment fee shortly. Foreign exchange trading income was 53 million in the fourth quarter, down 13% year-over-year and 16% sequentially. Lower client volumes drove the year-over-year decline, while the sequential decline reflects lower volumes and volatility. Other non-interest income was 68 million in the fourth quarter, down 12% from last year and down 9% sequentially. The primary driver of the decline was other operating income, which at 33 million was 20% lower year-over-year and 13% lower sequentially, reflecting decreases in various categories. In the year-over-year comparison, recall that the fourth quarter of 2014 included two quarters of income associated with a third-party servicing agreement which was modified in late 2014. Net interest income, which I will discuss in more detail later, was 296 million in the fourth quarter, increasing 9% year-over-year and 8% sequentially. Let's look at the components of our trust and investment fees on Page 5. For our corporate and institutional services business, fees totaled 428 million in the fourth quarter, up 5% year-over-year and essentially unchanged sequentially. Custody and fund administration fees, the largest component of C&IS fees were 286 million in the fourth quarter, up 2% year-over-year and down 3% sequentially, while assets under custody for C&IS clients were 5.6 trillion at quarter end, up 2% both year-over-year and sequentially. The year-over-year growth in custody and fund administration fees primarily reflects new business, partially offset by the unfavorable currency translation impact of a stronger U.S. dollar. In the sequential comparison, new business was more than offset by lower quarter lag equity markets, lower transaction volumes and unfavorable currency translation. Investment management fees in C&IS of $86 million in the fourth quarter were up 10% year-over-year and 4% sequentially, driven in large part by lower money market mutual fund fee waivers. Fee waivers in C&IS were $8 million, lower by $9 million year-over-year and $4 million sequentially driven primarily by higher gross yields in the funds. Assets under management for C&IS clients were $648 billion, down 9% year-over-year and 2% sequentially, primarily reflecting the outflows that I mentioned earlier. Securities lending fees were $22 million in the fourth quarter, 3% higher than last year and 13% higher sequentially, primarily reflecting higher spreads. Securities lending collateral was $104 billion at year end, but averaged to $124 billion across the quarter. Average collateral levels increased 3% year-over-year and 1% sequentially. Other fees in C&IS were $34 million in the fourth quarter, up 19% year-over-year and 1% sequentially, reflecting higher fees from investment, risk, and analytical services invested payments. The year-over-year increase also reflects higher sub-advisory fees. Moving to our wealth management business trust, investment, and other servicing fees were $319 million in the fourth quarter, essentially unchanged both year-over-year and sequentially. In both comparisons new business and lower money market mutual fund fee waivers were offset by the impact of unfavorable lagged markets. Money market mutual fund fee waivers and wealth management totaled $13 million in the current quarter, down $4 million year-over-year and $3 million sequentially, primarily reflecting higher gross yields in the underlying funds. Assets under management for wealth management clients were $227 billion at year end, up 1% both year-over-year and sequentially. Moving to Page 6, net interest income was $296 million in the fourth quarter, up 9% year-over-year and up 8% compared to the third quarter, growth was driven by a higher level of earning assets and higher net interest margin. Earning assets averaged $106 billion in the quarter up 6% versus last year and 5% sequentially in both comparisons driven in part by the level of client demand deposits, which averaged $26 billion, up 20% year-over-year and 7% sequentially. We saw solid loan growth again in this quarter. Loan balances averaged $34 billion in the fourth quarter, up 8% year-over-year and 2% sequentially. The net interest margin was at 1.11% in the fourth quarter, up 3 basis points both year-over-year and sequentially. The improvement in the net interest margin primarily reflects a higher yield on the securities portfolio due to lower premium amortization in our mortgage back portfolio. Premium amortization was less than $1 million in the fourth quarter compared to $14 million in the third quarter and $7 million one year ago. Turning to Page 7, expenses were $825 million in the fourth quarter, up 6% year-over-year and 2% sequentially. Compensation expense up 366 million increased 3% year-over-year, primarily reflecting staff growth and the impact of annual base pay adjustments, partially offset by the favorable translation impact of changes in currency rates and a lower accrual for incent of compensation. Staff levels increased approximately 5% year-over-year with more than 85% of the growth emanating from our global operating centers in Bangalore, Manila, and Limerick and our newest operating centre in Tempe, Arizona. On a sequential basis, compensation expense increased 1%, primarily reflecting staff growth. Employee benefit expense of $69 million increased 11% year-over-year, reflecting higher pension expense and employee medical expense. On a sequential quarter basis employee benefit expense decreased 1%, due primarily to seasonally lower payroll taxes. Outside services expense of $155 million was 8% higher year-over-year. The increase primarily reflects higher technical services expense and higher consulting expense due to evolving regulatory requirements. Outside services expense declined 2% sequentially, primarily reflecting lower third parties sub-advisory expense. Equipment and software expense of $117 million was up 13% year-over-year and 3% sequentially, primarily reflecting higher software related costs in support of client and regulatory technology initiatives. Higher depreciation expense also contributed to the sequential increase. Other operating expense of $74 million increased 5% year-over-year and 14% sequentially, primarily driven by higher business promotion expense and other miscellaneous expenses. The effective income tax rate in the fourth quarter was 31.7%. Our fourth quarter results include a $5.5 million income tax benefit related to our decision to reinvest the earnings of certain additional foreign subsidiaries and definitely outside The United States. This decision under APB opinion no. 23 reflects the continued growth and success of our business to outside the U.S. and it's consistent with similar assertions made in the past. Excluding this income tax benefit the effective tax rate was 33.6 and earnings per share were $0.96. As I mentioned earlier, our loan loss provision was a credit of 18.5 million in the fourth quarter. This reflects not only improving credit quality as evidenced by a 9% or $19 million sequential reduction in non-performing assets, but also a change effective December 31 in our methodology for estimating inherent losses. The new estimation methodology is more quantitatively focused and leverages work developed for regulatory purposes. This change resulted in a decrease in the inherent loss estimate for commercial and institutional loan portfolio, partially offset by an increase in the allowance for off balance sheet commitments. Turning to the full year, our results in 2015 are summarized on Page 8. Net income was 974 million and earnings per share were $3.99 both up 20% compared with 2014. During 2015, we recorded a $99.9 million gain on the sale of a portion of our holdings in Visa shares, a 45.8 million charge for voluntary cash contributions to certain constant dollar NAV funds and a lease impairment of 17.8 million. Excluding these items, net income was 951 million and earnings per share were $3.90. We achieved a return on equity for the year of 11.5% adjusted for the items I just noted, better than 10% in 2014 and within our target range of 10% to 15%. Full year revenue and expense trends are outlined on Page 9. Trust, investment and other servicing fees grew 5% in 2015. New business across segments and geographies contributed to this result. Foreign exchange trading income increased 25%, primarily reflecting higher currency volatility. Net interest income increased 6%, primarily driven by 7% growth in earning assets. The net result was 8% growth in overall revenue in 2015. Expenses were 5% higher in 2015, reflecting investments in staffing and technology to support the growth of the business as well as to comply with evolving regulatory requirements. Turning to Page 10, a key focus has been on sustainably enhancing profitability and returns. This slide reflects the progress we've made in recent years to improve the expenses to fees ratio, pretax margin and ultimately our return on equity. The ratio of expenses to trust and investment fees is a particularly important measure of our progress as it addresses what we can most directly control. Reducing this measure from 131% in 2011 to 110% in 2015 has been a key contributor to the improvement in our return on equity from 8.6% to 11.5% across the same time period. This metric remains an important parameter of our progress and we remain committed to lowering it on a sustainable basis going forward. Turning to Page 11, our capital ratios remained solid with common equity Tier 1 ratios of 11.9 and 10.8 respectively calculated on a transition basis for both advanced and standardized. On a fully phased in basis, our common equity Tier 1 capital ratio under the advanced approach would be approximately 11.5% and under the standardized approach would be approximately 10.5%. All of these ratios are well above the fully phased in requirement of 7%, which includes the capital conservation buffer. The supplementary leverage ratio at the corporation was 6.2% and at the bank was 5.6%, both of which exceed the 3% requirement which will be applicable in Northern Trust in 2018. With respect to the liquidity coverage ratio, Northern Trust is above the 90% minimum requirement effective as of January 1, 2016 and is also above the 100% minimum requirement that will become effective on January 1, 2017. As Northern Trust progresses through fully phased in Basel III implementation, there could be additional enhancements to our models and further guidance from the regulators on the implementation of the final rule, which could change the calculation of our regulatory ratios under the final Basel III rules. In the fourth quarter, we repurchased 2.1 million shares at a cost of 152 million. Our 2015 capital plan provides for the repurchase of up to an additional 285 million of common stock through June 2016. For the full year, we returned 830 million in capital shareholders via common dividends of 333 million and share repurchases of 497 million. Our total payout ratio for the year was 87% which we believe continues to position Northern Trust among the highest rates of capital return across large U.S. banks. In closing, in 2015, we continue to grow the firm profitably for our shareholders, deliver comprehensive solutions for our clients and improve our technology and infrastructure to ensure the sustainability of our momentum. From a financial perspective, we delivered an 11.5% return on equity for the full year moving further into our target range of 10% to 15%. In addition, we returned 830 million to our shareholders through dividends and stock repurchases, while maintaining strong capital and liquidity levels. Our C&IS business delivered strong profitable growth in 2015. New business success was balanced both globally and across client and product types. During the year CNIS introduced several new or enhanced capabilities for its clients. For example we launched our complete FX service and outsourced foreign exchange execution service for investment managers which provides flexible execution options and operational efficiency. We also announced the agreement to acquire ADA Global LLP an institutional focused equity brokerage firm which will expand our existing capabilities to the EMEA and A-PAC regions. Our wealth management business grew revenues 4% year-over-year and continued to produce attractive margins achieving a pretax margin for the year of 36%. Product innovation and support of our personal clients continued in 2015. For example in response to an increase in demand for ART advisory services and how ART fits in a client's asset allocation we have expanded our expertise in providing leverage against collections to preserve liquidity and a client’s portfolio and estate. Also in 2015 we implemented a first generation bank-by-text platform. Clients are now able to check balances, view their net worth summary, transfer money, locate ATMs and perform other frequently used banking functions via text on their mobile devices. Our asset management business also has been successful in creating innovative client solutions. We expect to launch soon a new generation of target date funds designed to improve retirement outcomes by leveraging our engineered equity expertise. Lastly our investment in technology and infrastructure facilitated the growth we produced in 2015. An example of our investment was acknowledged in December when we were awarded best cloud and best analytical initiatives by Waters magazine which recognizes financial services technology excellence. Thank you again for participating in Northern Trust's Fourth Quarter Earning Conference Call today. Bev and I would be happy to answer your questions. Zack please open the line.
Operator: Thank you, [Operator Instructions] we'll take our first question from Adam Beatty with Bank of America, please go ahead.
Adam Beatty: Thank you and good morning, just wanted to get some color on AUM particularly on the wealth management side, maybe you could provide some details around what you're seeing in terms of equity and fixed income and also maybe a comment on trend within the quarter whether December was significantly worse or pretty much run rate, thank you.
Biff Bowman: Thank you, when we look at our wealth management AUM what we have continued to see is movement from equity and other higher yielding products into lower basis point products, over the cycle that's been true for the whole year. I think that trend continued at about the same pace in the fourth quarter, so as clients look at their portfolios the movement from equity into passive solutions and or lower basis point yielding products continued throughout the quarter.
Adam Beatty: Great thank you, and just to follow up on the money market fee waivers, short rates came up significantly kind of mid-quarter, I was wondering either what the run rate looked like at the end of the quarter or you know whether you would expect continuing diminishing of the waivers, thanks.
Biff Bowman: We saw the gross yields in many of our funds improved with the short rate movement. I would position that as it was later in the quarter, not the midpoint in the quarter but tenders [ph] that occur more in December and then throughout December. So we certainly saw the waivers abate meaningfully throughout the month of December and the run rate of waivers the demunition that you talked about really occurred the week or two before the Fed announcement and then post that we began to see the growth yields in the funds move up meaningfully. So the waiver rate was very back loaded in the quarter.
Adam Beatty: That's helpful, much appreciate.
Operator: And we'll take our next question from Luke Montgomery with Bernstein Research, please go ahead.
Luke Montgomery: Hey good morning, a quick question on the NIM expansion. Looks like the yield on Fed deposits seems to have benefited from the Fed hike, so similarly to the money market question, am I right to think that if you run rate that through the full quarter the dynamic would be a tailwind for Q1? And then also it seems like the biggest driver this quarter was this spike in the GSE book, the yields there. You cited that the premium amortization so maybe you could remind me if that's a one off benefit that goes away next quarter and what the NIM was excluding that benefit. 
Biff Bowman: Yes, so, if you, let me address the Fed first, your analysis is correct, we benefited obviously from just a brief two weeks of that and you can project the forward benefit of that going forward in your models. In terms of the securities portfolio improvement if you will in the spread that was driven by the premium amortization that you described was a meaningful component of that during the period. It has some seasonality but it's more impacted by factors such as movement in the housing market and or rates in any given period, so we do typically see a slowdown in housing activity in the fourth quarter we generally have better amortization in that period if you will but as we mentioned in the script in the first part of the prepared remarks, it was slightly larger than last year and more than slightly it was about 13 million difference at quarter over quarter.
Luke Montgomery: Okay, great, thanks. And then a question on what you’re seeing in credit quality, it looks like market pricing recession here, you release reserves for the fourth quarter in a row and net charge offset are near historical lows, I wondered if underneath that you're seeing any signs of stress at all and I think maybe that's getting in a leading way period in loan balances tick down for the first time in over two years, I know you called out at the loan sales, but I'm wondering if you’re getting a little tighter about extending credit, giving your outlook on the environment or is that just reading too much into it
Biff Bowman: You might be reading a little too much into it, some of that it was the $550 million of loans and leases that ran off during the period. So, that's a portion of it, in terms of our own credit quality, it's important to remember this our mix in our credit portfolio as we have slowed or we have negative growth if you will in residential real estate, the growth is largely coming from areas that are investment accounts secured or large C&I type loans where the credit quality remains a very robust and very strong right now. So, the mix in our portfolio has driven improvement in the overall credit quality. I think we've referenced the 9% sequential improvement in non-performing assets and I think on a year-over-year basis the non-performing assets were closer to a 19% better. So, we have experienced strength in our own credit portfolio. 
Luke Montgomery: Okay, thanks very much. 
Operator: And we'll go next to Marty Mosby with Vining Sparks. Please go ahead.
Marty Mosby: I wanted to ask you a question, again if you look at the rate sensitive pieces that were favorable this quarter, you back out the 13 million from the prepayment fees, out of 8 million net impact on NII about 7 million on waved fees, taking that that's about a total of 15 million, but yet only really a month out of a quarter, you can move that up to be about $45 million in total once you get through the full run rate, just want to make sure I was looking at that right.
Biff Bowman: If you have that, you also have to look at volume and consider volume in there but your math is accurate.
Marty Mosby: Okay and then the other question was when you look at the balance sheet inflows of deposits especially non-interest bearing deposits were really still very strong, so your cash position continued to expand and securities came down little bit, you've been trying to do the other which is put more securities on utilizing. Given what you're seeing in deposit characteristics, do you feel comfortable you can still expand securities faster, so that you can bring some of that cash position down going forward through 2016?
Biff Bowman: Yes, the growth in those deposits can often be lumpy, we get significantly high deposits and from hedge fund and/or endowments or other large institutional type deposits and we have particularly near period ends we will typically place that at the Fed. Over a long period of time the migration and looking at our ability to move some of those into the securities portfolio remains something than our asset liability committee is focused on and we do believe, we can do that in any given short time period we may have the need to put those with the Fed, so that it helps with LCR as well. 
Marty Mosby: Thanks. 
Operator: And we'll go next to Glenn Schorr with Evercore ISI. Please go ahead.
Glenn Schorr: So, I want to be careful and not overly focus on one quarter because the full year revenue expense relationship was good and as you pointed out the expense to trustee relationship continued to improve, but if you look at the course specifically, I think some people are worried that there is a little bit of reversal trend. Some of the expense items you pointed out are higher and the ratio gave back a little bit. So I'm just looking for a higher level comments of, how much of that is just one quarter and the fourth quarter specifically, and I know the market is breaking down but as a general comment should we continue to look for that relationship to improve? Because it feels like some of the expenses are elevating.
Biff Bowman: Thanks. Let me -- we still think that the expense-to-fees ratio it's an important parameter of our progress towards sustainably improving profitability and returns and we remain committed to improving that ratio, but as you noted in the short-term and on a quarterly progress there can be a variety of factors. I would say Glenn as you pointed out on annualized basis, we've improved that since 2011 every year and we were like I said remain committed to that improvement. Also there is a numerator and denominator in the equation, it’s in that ratio as you know in a difficult macro environment certainly makes the space that which we can improved that challenging, particularly if you look across a very short timeframe like a quarter. Look, we're focused on the areas that we can drive that and that’s new business on the top-line and fee growth on the top-line and the success continues there very strong new business results for the firm. On the expense side, on the denominator if you will or actually in the numerator, on the expense side, we've got several initiatives that we continue to work on, our location strategy, procurement optimization, technology optimization, those are still in force and still moving at pace. You see some of that investment in our equipment software line, in the depreciation we hope has long-term benefit for us. So a little longer answer, but it's the question I know that matters there and we are committed to continuing to drive that ratio down. And as fee growth slows, we have to recalibrate our business to address that on the expense side.
Glenn Schorr: Yeah understood and appreciate the one quarter versus one year. The only related follow up I have is, when you look at the expense items that you lined up between employee related stuff outside services equipment, on a gross dollar basis are those the best estimates we have for starting point for the year? Is there any seasonal component that we should be thinking about?
Biff Bowman: We have some seasonal components in the first quarter around other expense which is business promotion around the Northern Trust Open and there is some modest compensation, first quarter impacts from when we set our compensation awards. The Northern Trust Open beginning the business promotion being probably the most seasonal of those expenses. The rest are relatively balanced and that is a good launch point.
Operator: And we'll go to next to Brennan Hawken with UBS. Please go ahead.
Brennan Hawken: I guess just following up on Glenn's question there on the expense front. Can you -- if you continue to see these difficult market conditions, downward pressure in the equity markets and the like, can you talk about how you think about your expense flexibility, how you're approaching your budgeting process this year and obviously you've got some pressure from regulatory -- on the regulatory front as you've laid out in some of those line items, so how do you balance all of that?
Biff Bowman: Sure. Parts of our business as you know are on the expense side are actually also tied to market level, so we have a natural movement either up or down based on market level, so there is a component in our expense base that moves relative to those market, so it's not all fixed cost if you will into our expense base. As we think about the year going forward, we certainly run multiple iterations of macro factors impacting our business, such as markets up X or down X, rates hikes coming or not coming and we run multiple iterations. We try very hard to run our business without macro factors being major inputs to the success of the firm's business going forward, which means we are not overly reliant on either rates or markets in any given period. And so that's how we build our process and we hope that not being overly reliant allows us to be flexible in our ability to react to large macro events, particularly in your question on the expense side.
Brennan Hawken: And then I guess that -- is it paraphrasing it correctly, Biff, here to say that you feel good about your front expense flexibility and you feel like you've embedded some in your budgeting process, am I taking too much of a lead [ph]?
Biff Bowman: I would phrase it this way, I would say that part of our expense base is variable based on market levels. Part is we have access to maneuver that in this environment and part is quite frankly investment that needs to continue to support the growth on the new business side, so its parts of all three of your question are true in that. We don’t have complete flexibility on the expense side, it's not at 100% variable expense base.
Brennan Hawken: Thanks for the color there. And then one question just maybe if it's possible for you to give us a little more color on the change of methodology for the provision and how much of that credit improvisation we should assume is one-time. Does this mean that there would be less credits running through that line on a go forward basis due to the change in methodology? And I think you mentioned there was a regulatory issue driving it or feedback from regulators, if you can give a little more color there, that'd be great?
Biff Bowman: Yeah, I'll start with the last thing, I mean it was not the regulators driving in, it was our use of the models and methodologies we use in CCAR to help guide us to help build this model to drive our loan loss reserve policy. So it was not something regular drove us to do. I will give you a little bit of color. So at December 31 that was the first time that we applied the new methodology and it produced the $18.5 million release that you talked about. Your characterization of, we’ve now set that baseline and that’s establish and in any given quarter based on the credit quality and the factors that we look at from the model perspective. We will see provision or release based on that modeled approach going forward. But it certainly was one quarter where we employed the methodology and got the number two at least a level that allows us to move forward based on how the actual credit quality and other factors are moving in the future, so we rebased if you will.
Brennan Hawken: Got it. Thanks a lot.
Operator: And we’ll go next to Ken Usdin with Jefferies. Please go ahead.
Ken Usdin: Can I ask a question just about the interchange between NII and fees? Specifically, I see you had another outstanding growth quarter for the size of the balance sheet. And I’m wondering, can you talk us through the inflows that you’re continuing to see into deposits. Is that new client money, is it flight to safety or is it money coming out of your existing clients and maybe showing up in NII, but not so much showing up in fees. Just trying to get to interplay between money flows across the franchise and is it a net positive or is it more of a hedge against the total revenue?
Biff Bowman: I would describe that it has primarily driven by growth in our organic business underlying. So these clients may come to us and become a global fund services client and use our firm for fee based services. And then place an additional billion dollar deposit with us after that relationship has strengthen overtime. So it adds if you will to the deposit base and I would say that they’re linked. There are some deposits that are probably a flight to safety, but I would not say that’s the majority of what we seen in our growth, most are existing clients in other fee based lines in the firm. And in fact, what I would add is generally, we have not taken on large deposits that we talked about, if they don’t have broader relationships, just because the return dynamic is less attractive.
Ken Usdin: And then my follow-up, if you could just split the businesses for a second and just talk about then any changes and either the pipelines or client activity that you’re see given the sentiment change that we’ve witness now for going on a couple of months in the marketplace and if you can disaggregate that into CNS [ph] to CNIS component and wealth management?
Biff Bowman: I’ll start with CNIS, the pipeline remains very strong and when I say that it’s really globally strong strength in Asia, particularly in Australia and other parts of Asia. In Europe very strong demand and pipeline there. And then in the U.S., a balance pipeline, but between our global fund services business, servicing asset managers and institutional investors as we would call them, think pensions and foundations, endowments, et cetera. Very balance set of existing wins and pipelines in both of those businesses. On the wealth side, we talked about our investment in certain markets in Texas and Houston specifically in New York. I can say that both of those experienced meaningful outsized growth versus the rest of the wealth management franchise. So that investment in their pipeline in those regions is very important. We made a key hire that we announced in New York just this week or the 11th, we announce. So I would say both pipelines are very, very solid and we feel good about the pipeline.
Operator: And we’ll go next to Brian Bedell with Deutsche Bank. Please go ahead.
Brian Bedell : Biff could you comment a little bit more about the passive investing I think we’re seeing maybe across consider [ph] it wealth management franchise. How are some of the recommendations to clients changing and I guess are you recommending passive strategies, overactive and then on the new target dates funds are those going to be invested in passive products, no-interest passive products or active. And I guess just the risk posture of the wealth management client basis and how you’re recommending allocations in this market?
Biff Bowman: So we have a very robust IPC committee and investment policy committee made up professionals from our asset management expertise and Katie Nixon on the wealth management side, looks that I diversified investment portfolio for our wealth clients, which does make tactical asset allocations during any given period, but it is largely well diversified portfolio across all array of investments. So when you ask the question about passive versus active, it's really a question around diversified versus commitments to large components. So, when you can get large-cap exposure through active or passive, but it's about being diversified across that portfolio mix that's important. That's a very independent committee that helps to make that decision for our clients and they do make some tactical decisions if they are concerned about region or an asset class, but they generally stick to what I would say is a very well diversified global portfolio mix for the clients. 
Brian Bedell : Is that shifting more toward passive only because in a legacy basis, it may have been more active or not necessarily?
Biff Bowman: So, it may not but as the price point difference between the passive and actives, and then the performance comparison has changed for those clients to get S&P 500 exposure or large-cap exposure the cost point for them could be quite different and they continue to evaluate that cost point. So they do evaluate that and there has been some migration from say active equity to passive equity, we've focused first and formal on the diversification of the portfolio and then whether that's delivered actively or passively is something that we talk with our clients in our policy. 
Brian Bedell : Okay and then maybe just shifting to the balance sheet, there was pretty strong growth in the short-term borrowing in the fourth quarter, is that at the startup [ph] or is that in line with the commentary that you give around deposit growth and then maybe if you can talk about how you're thinking about deposit data moving into the new year with the higher short-term rates in December and then also on the loan book, if you can remind us what portion of your loans are floating rate what kind of lags to I think it's LIBOR for those part that we'll see, just trying to get a sense of that, how that might move in one [multiple speakers]? 
Biff Bowman: Try to give all three of those 
Bev Fleming: Brian, let me just take couple of the factual questions that you asked here. In terms of the loan portfolio about 70% floating, the reminder fixed. So that's one of the things that you're interesting about and then in terms of pricing, I mean it depends on the loan category you're talking about. So, clearly for example our commercial loans would be generally LIBOR based, our private client loans also LIBOR based, although a few could be time and then of course the real estate portfolios would be based off of treasury. So, it depends on the category, you're referring to 
Brian Bedell : And then just on the commentary on your sense on the deposit [indiscernible]?
Biff Bowman: Yes, we're watching the market like many. Like others, we did not pass the 25 basis points on to the clients on that but we continue to watch the market and I think we'll have a much better idea how that unfold over time. 
Brian Bedell : Okay, fair enough. Thank you. 
Operator: And we'll go next to Alex Blostein with Goldman Sachs. Please go ahead.
Alex Blostein: Thanks. Good afternoon, guys. Couple of quick questions. I guess, just sticking with NII and the balance sheet discussion. I guess, seasonally we shouldn't expect that there was an elevated level of activity towards quarter ends, so like quantify, [indiscernible] balance is a decent starting point for next year and then again the organic growth that we've seen in a past, is the reasonable way to think about it?
Biff Bowman: Yes. 
Alex Blostein: Okay, easy enough. And my other question was around the securities lending business and you mentioned the drop off in collateral balances happened towards the end of the quarter, again just want to understand whether or not it was something episodic or what drove the decline. And I guess, as a follow up to that given the fact that we've seen obviously pick up in market volatility in a more challenging backdrop quarter-to-date, just wondering if you’ve seen any change in demand spreads or something that could help the securities lending business as we look out into 2016? Thanks. 
Biff Bowman: So, talking about the balances and the difference between the average balance sheet in the end. That was a borrower or a demand driven phenomenon and I'm -- I will presume that was -- those institutions looking at their own balance sheets at year-end as they did what they needed to, to make their balance sheets and ratios look appropriate at year-end. It benefited us in the sense that if you look at our standardized ratio we had a 40 basis point improvement, much of that was reduction from a standardized approach as I said, much of that was a risk weighted approach -- risk weighted asset improvement driven by lower securities lending balances at quarter end. In terms of we're not seeing so far into 2016, more of the same trend that you saw late in Q4 for us, nothing than I'd called out at this point. 
Operator: And we'll go next to Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck: So that was just a one off on client event for the securities lending book?
Biff Bowman: It was not a one off client, it was just demand in general, I'm guessing that our clients were working on their own balance sheets at quarter end and it was really a quarter end phenomenon.
Betsy Graseck: Okay. And then just a follow up question on the reserve methodology changes, just want to make sure I understand what drove the decision to do this and is it as indicated that the kind of reset the bars so from here changes in credit outlook Q-on-Q-on-Q is going to drive changes in reserving or in net charge-offs. Any legacy reserve benefit or reserve release has been coming through this quarter with reserve methodology change?
Biff Bowman: I’ll take the second part and answer it. Beth, that is accurate, it is -- the new methodology and approach has been approved and utilized in this quarter and is I think put in at the run-rate and then quarter-on-quarter credit quality will become variable. In terms of the, why now. We've worked to build out the model over the course of the year and we wanted to leverage the work we had done with CCAR to use a much more quantitatively oriented model to do this and we also work with our accountants and others to make sure that the reserve is as quantified as possible. This allowed us to get to that level of a much more quantified approach and that was the trigger.
Betsy Graseck: And do you think that there is any impact in the volatility of provisioning going forward where there is model change? Is there anything on that net nature that we should be thinking about?
Biff Bowman: No, it will just depend on overall the credit quality of the portfolio, so I'm hesitant to say yes or no. If the credit trends continue then it should be well reserved and if there's something in the portfolio then it will move. I think it is reasonable unless there is meaningful improvement or degradation in the portfolio that large releases are unlikely to happen.
Operator: And we'll go next to Mike Mayo with CLSA. Please go ahead.
Mike Mayo: Well, Biff I guess your timing for $500 million of government bonds was pretty good, you probably had a gain on those purchases in the fourth quarter. So I'm not sure if we'll gains on those down the road, but my question relates to the funding of some of the purchases, I know you were asked before, I missed the answer. The short-term borrowings were up 1.7 billion. Now, I'm just trying to understand the balance sheet dynamics, just a little bit more, I mean earning assets grew at an annualized pace of 20% and you have short-term borrowings up quite a bit and why just, a lot of questions have touched on this, but I just want to make sure I have the right answer.
Biff Bowman: So part of that was federal home loan bank borrowing that we took advantage of which was an attractive, a very attractive borrowing rate, so that was a meaningful portion of the increase in short-term borrowings if you will that you described there. And in terms of the timing of the purchase, again, Mike we have an asset liability committee that has a view on where we should take investment decisions and we thought maybe right after the rate hike it maybe opportunistic and I don’t know if that's right in the long-term, but it was -- it's an attractive trade through today.
Mike Mayo: And the federal home loan bank borrowing rate, could you elaborate on that, what is that? If you're allowed to disclose the rate or -- I mean how often does this come up? Is this something you never seen before or you see it every so often?
Biff Bowman: We've had access to that borrowing in the past, I don’t know if we can disclose the borrowing rates, I'm unsure. I will say that it is very low, very low effective borrowing rate.
Mike Mayo: So a part of the quarter was simply advantageous situation, where you took advantage of a very low borrowing rate at a good time when you thought it might make sense to load up on some more government security, so is that correct?
Biff Bowman: No -- yeah -- not completely that, I think part of it was we liked -- the federal home loan borrowings is attractive from an LCR perspective as well, so that borrowing allowed us to also strengthen some liquidity measures and then we were able to take advantage of some of that borrowing and create some yield.
Mike Mayo: Last follow up, so you had 8% growth in NII’s linked quarter which is pretty impressive, should we consider that to be sticky? Should we consider the potential for our growth in NII like that again in upcoming quarters?
Biff Bowman: I think that there was obviously the amortization benefits in there that has seasonality and deals with macro factors like rates and/or housing starts, so that tailwind is unlikely to maintain itself during the entire course of the year. It tends to be worse in the second and third quarters, so --.
Mike Mayo: So should we see that come down a little bit from the first quarter level?
Biff Bowman: I'm hesitant to say one way or the other, I don’t know what the premium amortization in mortgage backed securities will do in the period, so --.
Operator: And we'll go next to Jeffrey Elliot with Autonomous. Please go ahead.
Jeffrey Elliot: I wanted to come back to the securities lending collateral move because I kind of heard at one point you were saying this was a quarter end phenomenon and then I also thought I heard you say something about the behavior that you'd seen at the end of the fourth quarter how it continued into the first. So I guess could you clarify the drop in like lending collateral is that a kind of something that happened around December 31st, it probably comes back, is not going to impact the P&L or has there been some sort of change in customer behavior that maybe last a bit longer?
Biff Bowman: So the collateral levels and the loan levels were quarter end phenomena, my comment was about -- the question was around spread, has we seen any dramatic changes in the spread and or demand in the first part of this year and I would say the demand and the collateral levels are closer to the averages we've talked about in the previous period. Not a decline and then movement from the quarter end.
Jeffrey Elliot: That's clear and then just to follow up, again on the institutional side, the AUM you know I guess if you take out the cycle ending it's not as if it’s declined a lot but given equity markets are up quite a lot, we might have expected a bit more growth. So you know the reasons why that business isn't grow that -- AUM balance isn’t growing as strongly as you might have expected given what equity markets did in the fourth quarter customers kind of going elsewhere.
Biff Bowman: Yes, so one meaningful factor in that would be our sovereign wealth fund exposure that I mentioned in my prepared remarks but we, we do report in P&I magazine, a year ago I think we reported sovereign wealth balances of 70 billion in that. At year end those had migrated down just too sovereign wealth funds of 50 billion, approximately 50 billion. So we're seeing some of the pressures, if you will, on those regional economies and the need for some of those large sovereign wealth funds to use those funds, if you will, in their local environment. So that phenomenon has helped drive down the AUM, what I will say is about 95% of those are passive management mandates and generally have very low basis point fees, so while the AUM decline is meaningful the fee impact is more muted.
Operator: And we'll go next to Brian Kleinhanzl with KBW, please go ahead.
Brian Kleinhanzl: Yes, thanks, so quick question on the deposit betas, I know you said it’s too early to get a sense of what deposits are doing in the quarter, but can you have any balancing or managing the balance sheet for lower for longer, why if deposit betas are low shouldn't we expect the securities portfolio to increase?
Biff Bowman: Well if that is correct we may see that happen, but we're still observing the market and I think it's digesting the first round of these and remember we have a variety of large clients where the deposit betas may be more bespoke, more uniquely crafted in the contract so it's not a direct corollary that that is going to happen. And then the other thing is just from a liquidity standpoint, maintaining our liquidity.
Brian Kleinhanzl: And then just a follow up on the seasonality and the expenses, so not in 2016 but in 2017 when you changed your title sponsorship, will that seasonality move from the first quarter into the third or fourth quarter and kind of what is the magnitude of that impact on a dollar basis?
Biff Bowman: Yes, it will move to the third quarter in 2017, and we don't disclose the magnitude of that, but you'll be able to see in the expense run rate after the third quarter 2017. 
Operator: And we'll take our last question from Gerard Cassidy with RBC, please go ahead.
Gerard Cassidy: Thank you, good afternoon Biff. Question for you and this isn’t really directed at your loan portfolio because I don't think you have anything to really worry about with this fall in the price of oil but you can give some color, what are you guys looking into how this decline in the price of oil may affect maybe some of your wealth management customers or are there any counter-party risks that you're trying to figure out that you may have that would be impacted by the decline in the price of oil.
Biff Bowman: Sure, so let me start at a high level and I just briefly -- if you look at the decline in the price of oil many of the sovereign wealth funds that we serve are in oil producing nations and so that decline does have an impact on our business. They have lower asset levels and we certainly have seen flows out of those sovereign wealth funds as they address their issues. So that's on the institutional side, I know you also asked on the wealth side. And certainly in certain regions, we've talked about Houston is that, there can be secondary or tertiary impacts from low oil prices, so there are people providing services to companies and others that have been impacted, generally our clients given the wealth nature of our clients our liquid well invested and well diversified away from those single asset wealth creation in vehicles and we generally see modest impact to them from this type of environment, our direct exposure as you rightly said is largely too large multinational diversified firms with strong investment grade credits and so from an overall credit quality at this point while we certainly monitor it and look at it from a risk perspective, it has not had a significant impact on the overall credit quality of the deferral [ph].
Gerard Cassidy: Great and then the second question obviously you guys have focused on driving your return on equity higher within your range of 10% to 15%. We all know the industry is -- had to carry a considerable more amount of equity which is permanently reduced return on the equity. If you shift over to your ROA, that obviously is not impacted by equity and those ROA numbers are still quite a bit below where you used to be prior to the crises, is it primarily just that net interest margin and spread that's affecting the ROA would you say or is there other factors as well?
Biff Bowman: So, it is the two items that you described. I would say, it can be a bit of the earning asset mix, it can be some of the impacts of netted low net interest income, margins, et cetera that are driving that fundamentally. I will say that our business is much more liability driven and so the focus is really on turning those liabilities are fees essentially those liabilities are client placing deposits with us that we then turn into asset and so our focus is on return of equity and it just so happens that the ability to turn those liabilities into higher earning assets has been muted in the last several years under these low environments, but I think the combination of those has probably driven the ROA down, what we focus really on the ROE as a primary profitably measure.
Gerard Cassidy: Correct, which is the one to -- I agree with you. Great, thank you for your input. 
Operator: And there are no further questions at this time. 
Bev Fleming: We thank you all for joining us today. We look forward to speaking with you when we report first quarter earnings in the middle of April which will occur on the same day as our annual meeting. Thank you very much. 
Biff Bowman: Thank you. 